Operator: Good day, and welcome to the SoundHound Q4 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker, Mr. Scott Smith, Head of Investor Relations. Please go ahead.
Scott Smith: Great. Thank you, Sheri. Hi, everyone. Good afternoon, and thanks for joining our fourth quarter and full year 2022 conference call. With me today is our CEO, Keyvan Mohajer; and our CFO Nitesh Sharan. We will begin with some short remarks before moving to Q&A. We’d also like to remind everyone, that we’ll be making forward-looking statements on this call. Actual results could differ materially from those suggested by our forward-looking statements. Please refer to our filings with the SEC for a detail discussion of the risks and uncertainties that could affect our business and those that qualify as forward-looking statements. In addition, we may discuss certain non-GAAP measures. Please refer to today’s press release for more detailed financial results and further details on the definitions, limitations and uses of those measures and reconciliations from GAAP to non-GAAP. Also note that the forward-looking statements on this call are based on information available to us as of today’s date. We disclaim any obligation to update any forward-looking statements, except as required by law. Finally, this call is being audio webcast in its entirety on our Investor Relations website. An audio replay will be available shortly, following today's call. With that, I would like to turn the call over to our CEO, Keyvan Mohajer. Please go ahead, Keyvan.
Keyvan Mohajer: Thank you, Scott, and thank you to everyone for joining the call today. We're happy to share with you the results and highlights of our first fiscal year as a public company, which we closed out with a strong fourth quarter. Our cumulative bookings backlog increased to $332 million at year-end and our full year 2022 revenue was 31.1 million. Both of these key values exceeded targets we said and communicated in 2021 before we went public and well before the challenging market conditions began. SoundHound user queries using cloud connectivity were also highlighted growing over 85% in 2022, compared to '21, resulting in an annual run rate of approximately 2.2 billion. In Q4, our bookings increased 10% quarter-over-quarter, and our revenue was 9.5 million up 84% year-over-year. Before diving back in, I want to take a moment to reflect on how we got here and share our view of the latest trends and momentum in AI. We started SoundHound in the Stanford University dorm room with the vision that conversational AI will be the next major disruption in computing. We knew our AI vision was long-term and worked for over a decade to build and own the entire technology stack that is transformative. We globalized our technology to over 25 languages, and are starting the year with 332 million in booking from our customers. And now we power tens of millions of devices and services around the world, enabling people to more seamlessly interact and exchange in a more accessible, interconnected world. With the recent popularization of generative AI and large language models, we view to 2023 of an inflection point of conversational AI with a clear intersection between technology readiness, and subsequent demand and adoption, such intersections are rare and SoundHound is in a unique position to create tremendous value. We believe the impact of generative AI and large language models to the field of conversational AI is similar to the impact of deep learning, deep neural networks to machine learning. Better quality models can be created faster, and with fewer tedious engineering requirements. And we view the market impact of this to be transformative similar to the mobile ecosystem destruction of the last decade, fast movers will create tremendous value. Now moving fast does not mean just opening the text or voice interface to a large language model. Plus models persists the danger of providing unpredictable stale and incorrect responses a phenomenon known as AI hallucinations. The underlying principles of SoundHound Technology are addressing these shortcomings by combining software engineering and machine learning. For the first time, we are unveiling our novel approach using our proprietary technologies called CAILAN and CAINET. CAILAN or conversational AI language uses soft engineering to efficiently develop knowledge domains while CAINET or conversational AI network uses machine learning to augment and enhance the realm of possibilities. CAINET can connect to SoundHound's internal generative AI models as well as external model such as Open AI, GPT, and ChatGPT, among others. Ultimately CAILAN controls and arbitrate the results to provide the best response to the user. Let me demonstrate. User: I work at SoundHound. SoundHound Chat AI: Okay, I will remember where your work is. User: Show me fancy restaurants near my work that accept reservations. SoundHound Chat AI: Here are several restaurants near SoundHound sorted by highest price that accept reservations. User: Is it appropriate to bring a bottle of wine to a fancy restaurant? SoundHound Chat AI: It depends on the restaurants policy regarding bringing outside alcohol. Some restaurants allow customers to bring their own bottle of wine that charge a corkage fee while others do not allow it at all. You may want to check the restaurants website or call ahead to find out their policy. User: If there is a corkage fee what is a typical charge? SoundHound Chat AI: The corkage fee can vary depending on the restaurant, but it typically ranges from $15 to $50 per bottle. Some restaurants may have different fees depending on the size of the bottle or the type of wine. It's best to check with the restaurant beforehand to avoid any surprises on the bill. User: Okay. Sort the results by highest price and only show the ones that have more than four stars on Yelp and have outdoor seating. SoundHound Chat AI: Okay. Here are several restaurants with more than four stars sorted by highest price that have outdoor seating. User: So, the first one has parking? SoundHound Chat AI: Fleming's Prime Steakhouse & Wine Bar, The Wine Bar located at 2762 Augustine Drive in Santa Clara has parking. User: What kind of food does it have? SoundHound Chat AI: It is a wine bar, a steakhouse and a seafood restaurant. User: I have a question. Is it bad for you to have that kind of food too often? SoundHound Chat AI: Consuming high amounts of red meat or seafood can have negative health consequences if then on a regular basis. However, it is okay to indulge in these foods every once in a while as part of a balanced diet. It is important to consume a variety of foods in moderation to maintain a healthy lifestyle. User: How long does it take to drive from my work to there? SoundHound Chat AI: It will take approximately 7 minutes to drive 2.3 miles from Downtown to Fleming's Prime Steakhouse & Wine Bar, 2762 Augustine Drive, Santa Clara. User: When a sunset tonight and will it be rainy tonight at 7 p.m. near my work? SoundHound Chat AI: Sunset will be at 6:05 p.m. on Sunday, March 5, 2023. No, it isn't forecast to rain on March 5 near SoundHound. User: Send a message to 650-555-1212. We are on for dinner tonight at 7 p.m. I will book a fancy restaurant see you then. SoundHound Chat AI: Sending your message. User: Can you recommend some gift ideas for a 10-year anniversary dinner? SoundHound Chat AI: You could consider creating a scrapbook of your favorite memories together. You could also write a heartfelt letter expressing your love and appreciation. User: Can you write me a four line poem for a 10-year anniversary? SoundHound Chat AI: Sure. Here's a quick four line poem. 10 years are coming on, but my love for you still hangs on. I'm grateful for every moment we've shared I look forward to many more years to be paired. User: That was great. Thank you. SoundHound Chat AI: It is my pleasure.
Keyvan Mohajer: What you just heard was a sneak preview of a new product called SoundHound Chat AI. It ushered in a new phase of voice enabled conversational AI that used to only exist in science fiction. By combining the power of software engineering and machine learning with generative AI, we can finally deliver the digital assistant experience that users have been desiring for decades. Please stay tuned for our official launch announcement ready to soon. Let's review our expected business impact of this change as it relates to our three pillar strategy. In our pillar one will be power devices and cars. More users will use their assistance more often. Users no longer limit their interactions to simple control commands, setting timers and playing music. They can have lengthy useful conversations with their assistants. This increasing usage and translates on increasing revenue and licensing fees are SoundHound. Combined with our breakthrough Dynamic Interaction, which I'll talk about shortly, this will further strengthen our position as a leader in voice interfaces by creating more interaction capabilities for users of our products. In addition, more product creators will demand this feature and this increase in adoption will also increase the revenue per SoundHound. In our pillar two, more tasks can be automated and in general customer service, an area of important focus for SoundHound will be transformed with AI being not just cheaper than humans but also better than humans. But incorporating the possibilities that are already proven from generative AI and large language models into customer service applications, we envision that end users will ultimately prefer to speak on AI agents rather than a human representative when talking to a business. We expect our expansion to new customer service verticals to accelerate, and ultimately, AI enabled customer service will be as necessary to every business as electricity. SoundHound is in a unique position to take advantage of this rare moment. Due to our advanced and comprehensive technologies, mature product and existing customer base, in our view, this can't be done as a side project. It can't be achieved by simply interviewing a few external APIs, and creating the necessary technologies to winning conversational AI will be costly, inefficient and slow. By owning all the core pieces of the engine, we have a distinct competitive advantage. Innovation has been a core part of our DNA. Last November, we unveiled a new technology called Dynamic Interaction. Sometimes Dynamic Interaction is a multimodal full duplex interface with real-time continuous audio/visual feedback in response to both audio and touch input with no way for awkward pauses or turn taking. It ignores automatic speech make for record suggestions to the user and intelligently decides when to use audio or visual output. We believe Dynamic Interaction is a category defining breakthrough that will raise the bar for human computer interaction. Just like how Apple's multi-touch technology leapfrogged existing touching interfaces in 2007. By combining Dynamic Interaction with generative AI, we expect to achieve our ultimate vision of making computers better than humans in language understanding and more human in the way they interact and respond. Even our unique positioning and strength, the growing demand we're seeing for our independent AI powered products and services will only get stronger as we execute on more opportunities and with more customers. In 2022, we made great progress importing and extending significant relationships and partnerships with a number of new brands with our vertical agnostic technology. In the past year, SoundHound has announced a number of key partnerships and integrations including an agreement with Qualcomm to bring SoundHound both AI to Snapdragon platform, new deals, and integrations with VIZIO, Square, Toast, and Oracle and an expanded partnership with Snap. SoundHound also signed a multiyear agreement with Hyundai and announced an expansion of our Stellantis relationship in Europe as well as a series of collaborations in our commercial space, including with LG, HARMAN, DPCA and DMI. In automotive, we now work with 20 brands, an impressive number given we went from 0 to 20 brands in just a few years. While we continue to add new brands in a portfolio, we're also able to expand with our existing brands globally by supporting new languages, new regions, adding edge and cloud and new services. We are also working with many world-class device manufacturers ranging from smart appliances to TVs and in multiple areas within the IoT space. Here we continue to expand within our existing customers and we are excited about the companies in our pipeline. With more than 75 billion connected devices expected globally by 2025, we see a tremendous opportunity here for our voice AI powered products and solutions. Last year, our voice AI technology was made generally available for customer service starting with SoundHound for restaurants, making our entry into this massive, rapidly evolving service industry. This launched, we have added restaurant customers across North America and continue to pursue relationships with important partners including companies like Oracle, Square and Toast with more to come. Our SoundHound to onboard found both our assistant allows restaurants to automate the ordering process at drive-throughs ordering kiosks in app and over the phone, enabling customers restaurants to create efficiencies in order taking at a time when many are tackling rising food costs, staffing shortages, supply chain issues and other headwinds. Most neighbor foot odor is particularly challenging, requiring specialized speech recognition and complex natural language understanding is matched perfectly with our key differentiators. We are excited as we move forward in 2023, because we expect to continue to add customers and partners and deliver voice AR technology to some of the most well known brands in the world. We aim to power billions of devices and services. And we already voice enable meaningful cars, TVs, mobile apps, IoT devices and restaurants on a global scale, thanks to our extensive set of languages. And while we're excited about what we have built at SoundHound, and the new opportunities we have realized, is nice to see that the success is also being recognized by the industry. We certainly have been named a speech industry award winner, and we were also named as one of the world's top 10 disruptive AI companies by AI magazine. In addition, SoundHound for restaurant has been named among the winners of the National Restaurant Association's Smartbrief Innovation Award for Foodservice after only a short period since market launch. There is undoubtedly momentum building behind AI our company and our category. The convergence of heightened market demand for conversational AI and the technological readiness for our AI powered solutions has positioned us at a critical and very exciting inflection point, one we're trying to take advantage of. In closing since launching SoundHound initial voice AI platform in 2016, we have radically evolved it, globalized it, reached 25 languages, is selected by 20 car brands, and created over 100 branded assistants across numerous brands and languages. We continue to scale into major enterprises including Hyundai, Kia, Genesis, Mercedes Benz, Stellantis, Dodge, Chrysler, Harman, Toast, Square, LG, VIZIO, Snap, Pandora and many others. There's tremendous opportunity in itself to expand within these existing customers, but we're also making meaningful progress in expanding or other submarket as demonstrated we can have a restaurant in customer service. And with recent product launches, such as Dynamic Interaction for customer service and generative AI, we're confident in our ability to both grow within our existing global additive market and expand into new ones. We are in a unique position to maintain our leadership in voice enabled-AI technology and solve extremely difficult problems with our breakthrough inventions for our customers and partners. We're pleased to have ended the year at the high end of our guidance despite the macroeconomic conditions that worsen throughout the year. We remain agile and focused and are confident to grow the business at approximately 50% in 2023. With that, I will not turn the call over to Nitesh to talk about our financial performance for the quarter.
Nitesh Sharan: Thank you, Keyvan, and good afternoon everyone. 2022 was our first fiscal year in the public markets. A year when the IPO market stalled, higher interest rates dared investors towards value and sentiment shifted away from disruptive high growth technology companies such as ourselves. Nevertheless, we adjusted fought harder, aggressively took actions and set ourselves up to serve the rapidly increasing demand for our products and on much stronger financial footing. Artificial intelligence is fundamentally about making technology more human like. At SoundHound, we do that by making conversations with machines more natural and seamless and the demand for that has never been stronger. Large language models generative AI to the pervasive, pervasiveness of chatbots are unearthing entirely new use cases every day. The opportunity set and adoption curves will accelerate rapidly. As Keyvan indicated, our time is now. I'll dive deeper into expectations for 2023 shortly. Let me first review our 2022 results. We continue to expand our voice enabled ecosystem have strong growth and deliver full year revenue at the high end of our guidance range. Despite the volatile macro backdrop, we have now outperformed our publicly stated value outlooks for the past two years. The foundation for this consistent over achievement versus our expectations is rooted in strong customer engagement and sound execution that should only further improved from here. Our cumulative bookings backlog establishes that foundation. We closed the air with $332 million, representing a year-over-year growth of 59%. The contracts underlying our bookings backlog now ranged from one year to more than nine years, with the roughly 6.5 year weighted average contract length. Through the year, we saw meaningful lengthening in customer contracts, which demonstrates the deepening strategic partnerships and validates the value we continue to create. Our business model is grounded in the three pillar revenue framework. So the one represents voice enabled products where we receive royalties. Pillar two represents voice enabled services, generally under monthly subscription contracts. And then we bring pillar one and two together into pillar three monetization. As we have discussed previously, the bulk of our current business and backlog is in pillar one and in 2020 we've scaled into millions of new cars and devices. And this pillar, we are extending our offering across new units, and adding more features to existing ones to expand revenue per unit. We can scale with existing customers and we are constantly adding new one. In automotive for example, we saw more than 3x growth in the air new unit production in 2022, and unit price expansion of more than 20%. And in Q4, we added another three brands to our ever growing list. As we have discussed previously, going our pillar two voice enabled services is a key focus area starting with AI enabled customer services for restaurants. There's massive demand and one advantage here is the pace at which we can scale because of the much shorter sales cycle and activation timeline. Just several months in and our qualified advanced pipeline of stores is now well into the thousands, and we are rapidly enhancing product features to extend our reach to even more brands and locations. The recent advances with large language models only accelerate our excitement around the broader customer service opportunity in this pillar. Our packaged offerings and technologically advanced business inquiry voice AI solutions are perfectly suited to extend our reach to a multitude of businesses and industries. There is tremendous value to unlock for customers. Let me now get specific on our financial results for the fourth quarter and full year. In Q4, we generated $9.5 million in revenue of 84% year-over-year. For the full year, our revenue was $31.1 million, and it was predominantly driven by product royalties, with an increasing contribution from subscription services throughout the year. Our product loyalty revenue increased primarily due to strong customer momentum and a number of large edge deals where we received a multiyear minimum guarantee commitments. Our edge solutions operate without internet connectivity or hosting requirements. So our performance obligations are fulfilled when we deliver the software. Our long-term commitments demonstrate the continued strong partnerships we've developed and the continued share gains we are experiencing. Foreign exchange also had an impact on our revenue. Our full year revenue growth rate would have been roughly 2 percentage points higher without this impact. In Q4, our gross margin improved to 71%, up from 67% in the prior year quarter, which was largely driven by the expanding scale of our business. Cost of revenue for the quarter was $2.8 million up 61% from the prior year. The majority of our cost of revenue includes datacenter costs supporting our customer production environment. We completed the migration of our cloud spend to Oracle in Q4 2022. As we look forward, there are some on-prem activities that we related to the cloud, helping us continue to drive gross margin expansion, along with the anticipated benefits of further scale. Moving on to operating expenses, R&D has been the key pillar of this company as we built our voice AI platform and deep patent portfolio while over 260 filed and pending. In Q4 R&D was $21.5 million, up 32% year-over-year. We continue to invest in R&D to ensure we remain at the forefront of innovation in AI and machine learning, while also helping to develop and scale our cloud offering and other products and services. In 2022, we ramped up our sales and marketing investments in both people and technology to accelerate growth, particularly in pillar two. We have increased focus in digital marketing, lead generation and customer acquisition both direct and through channel partners. In Q4, sales and marketing expenses were $6.7 million of 587% year-over-year up a small prior year base. With our organizational shifts in 2023, we expect this expense item to benefit from greater focus. G&A expenses were $7.2 million in Q4 up 41% year-over-year, which reflects investments across the global support functions and finance, legal facilities and human resources. The increases were largely a result of ensuring our G&A functions delivered on the requirements of a newly public company. Across all operating expenses, non-cash employee stock compensation was $9.3 million in Q4. We expect the ongoing quarterly stock comp expense to meaningfully reduce in 2023 post our recent restructuring. Our operating loss of $28.8 million in Q4 and adjusted EBITDA which excludes the non-cash charges of stock compensation and depreciation and amortization and other non-operating activities was a loss of $18.6 million. Net loss per share in Q4 was $0.15 compared to a net loss of $0.32 in the prior year period. Full year net loss per share was $0.83, compared to a net loss of $1.18 in the prior year. Under the capital structure, our cash position at year end was $9.2 million. In January, we successfully raised $25 million in preferred equity. Our previously announced committed equity line of credit also became effective giving us additional access to capital. In addition, as we announced concurrently with our preferred rates, we are in process of refinancing our existing debt. All-in, our balance sheet has strengthened meaningfully and we have a fully funded business plan through and beyond the point of our becoming profitable. With that, I'll move on to guidance. Earlier this year, we announced restructuring actions that were necessary to right size our cost structure impacting both people and discretionary spend. Such decisions are never easy, but the actions have enabled us to accelerate our path to profitability without materially impacting our ability to execute our business plan effectively. We expect these cost reductions to result in operating cost savings of approximately $60 million in 2023 as compared to 2022. We expect revenue to grow approximately 50% in 2023 and we now expect to be adjusted EBITDA positive in Q4 of this year, setting the stage for sustained long-term profitable growth as we enter 2024. Let me double click a bit on these expectations. First, the $332 million of cumulative bookings backlog that I noted earlier gives us high confidence on revenue that will either automatically roll into the P&L in accordance with software revenue recognition guidance or as a result of expected customer unit volumes upon which we generate royalty revenue streams. In addition, we expect that SoundHound for Restaurants will provide a meaningful contribution to revenue and grow at an accelerated rate as we move through the year. It is important to note that SoundHound for Restaurants has had only a minimal contribution to our revenue up to this point, but the underlying customer foundation pipeline and activation of stores is building rapidly. It's also important to note that this vertical has a very attractive financial profile with more predictable revenue streams, better scalability, leading to more favorable operating margins, and a fast conversion of initial customer contacts cash flow. We are enthusiastic about the momentum we continue to see from customers and how our team is capitalizing on this tremendous opportunity. Therefore, overall in 2023, we expect that revenue will be in the range of $43 million and $50 million. We expect this revenue will build through the year, with each quarter larger than last due to seasonality of pillar one businesses and the scaling of restaurants. Our Q1 results will also be impacted by the restructuring efforts that we continue to finalize. Last year approximately two-thirds of our revenue was recognized in the second half of the year, and we expect to see a similar trend for this year. To summarize, we have taken the important steps to set us up for long term success. While progress will not always be linear, we are building a strong and sustainable business model and driving growth with a clear path to profitability. Market momentum is real, customer traction is strong, and we are extremely excited about our path forward. Thank you and we will now move to Q&A.
Operator: [Operator Instructions] And today's first question will come from the line of Mike Latimore with Northland. Please go ahead.
Mike Latimore: A lot of interesting developments, obviously, I guess first on the restaurant vertical, you seem fairly positive about that vertical. I guess, can you just give a little bit more color there? I mean, how many restaurants are you currently deployed at? And when you talk about pipeline, is that business that's about to be deployed or is that business that you still need to win? And then, I guess also just seems like this would be applicable to very large chains. Are there any large restaurant chains that are rolling soon?
Keyvan Mohajer: So, Mike, I think I'll start. So, a couple of points, yes, when I alluded to the pipeline in my prepared remarks, I mean, generally, we -- obviously, we have a lot of conversations going on and we sort of have an initial pipeline and then we kind of ventured into our CRM systems when it's in the more advanced stage. So qualified leads that we really characterizing what I was referencing are ones where there deep conversations going on with decision makers at the restaurant, where there's clear line of sight to a significant opportunity, whether it's small and medium enterprises, it could be one to single digit level locations in the enterprise side, they could be 10s or 100 plus, and we definitely have a suite of both small medium midmarket and enterprise level customers that have hundreds of stores. We've previously mentioned, White Castle, as an example chain that has over 350 stores around the nation, and we're activating and live and several of those and scaling. I would say that, you know, in terms of the number I mentioned, 1,000s, of advanced stage pipeline, so those are ones that are not yet paying us monthly fee, those are pipeline. So that means they're not yet in but those are late stage conversations. In many cases, what happens is, we kind of get a late stage conversation with let say, a pizza restaurant, and there are certain features and facets that they need, maybe they need a customization of doing half this half that. And that's a feature that we develop. So in a lot of cases, there's really active engagement, we may just need to add some features and functionality. We have hundreds of restaurants signed up already so beyond the pipeline stage that are operating, and we're quickly scaling those. So, as I mentioned in the prepared remarks, a time from sort of initial conversation to cash flow or monthly recurring revenue in the case for us can be very rapid, and especially when you get into restaurants that have multiple stores, because once you ingest that menu upfront, and you custom sort of develop the capability and the voice, moving to restaurant number two or three is very, very fast. In some cases, if it's more than the drive thru feature, you might have some acoustic things you have to figure out but generally, especially performer and you don't have any of those complexities of traffic or outside noise, and so it could be much more rapid. I rambled a little bit there, so maybe I'll pause and do that kind of question.
Mike Latimore: And then, on the Chat AI service, you mentioned, is that both a direct-to-consumer business enabler type of service or how you thinking about kind of the go-to-market there?
Nitesh Sharan: Yes, it will be both, to offer that to our existing customers and car makers and other teenagers and so on. And SoundHound, historically, we've had direct-to-consumer applications and products, and our existing applications have received over 300 million downloads. So that's something that is part of our D&A, you're really good at it. And it's good moments to take advantage of that experience.
Mike Latimore: Right, and just last one, can you provide a little more color on your activities with Qualcomm that seemed like an important partner that you announced last year, maybe just a little bit more feel for how that partnership is going?
Keyvan Mohajer: Yes, so if you already had a really good demonstration, you had a joint demo at the Snapdragon Summit a few months ago. So, they also showcase CES. So, they are basically bundling our voice AI solution into their chipsets, and they can basically be our channel partner and sell it to our customers on our behalf. So it's a combination of their chipsets and diverse technologies with rapid technologies and our voice AI solutions. So, it's a very meaningful partnership.
Operator: [Operator Instructions] One moment for our next question and that will come from the line of Brett Knoblauch with Cantor Fitzgerald. Your line is open.
Brett Knoblauch: The first, I guess, is on the profitability guide. And I guess taking a lot of action to kind of improve profitability over the last couple of months. What assumptions do you have to get to the kind of positive just really in the fourth quarter? I guess what can we expect from the gross margin front, absolute off X basis? If we look at the run rate X into the quarter, should we expect you know that to decline by called 10 million on a run rate basis? Or what should we be thinking for that?
Keyvan Mohajer: So, first of all, start at the top. So we guided 50% growth, and in sort of highlighted that is going to be back end loaded. So, we are expecting to ramp through the year. Part of that is that just seasonality that comes with the pillar one and predominantly auto business. But number two I should say auto and devices. So there's seasonality associated with like TV sales, and so forth as well. But then also with our pillar two and restaurants as we continue to scale, getting traction, and that builds on a monthly subscription basis, that'll compound in a positive way that that should go through the year. So there's a bit of that seasonality. And then with margins, we're not really guiding margins. But I'd say that just overall profile and long-term, we definitely think the levels, you know, the 70% plus level that we've been delivering this year is very achievable, very scalable, as you go into our diversification of products from cloud to edge that we've seen this year, that does have favorable elements to gross margin. I mentioned in my prepared remarks, through the year, we were migrating cloud, and we had that sort of impact a little bit of a drag in 2022's margin, that is now kind of completed. And then, also there's some other actions we're taking to drive efficiencies and margin and then also just with scale, but with respect to cloud versus edge, some of the edge solutions, they tend to have favorable gross margin profile. So, as you put it all together, we expect gross margin continue to be in the zone and positive to what it was in 2022. And then on the OpEx slide, I mentioned, on a full year basis 60 million of savings. And the first quarter will have some of the restructuring costs impact in it, but on an ongoing and we're still for some of our international countries. It just takes time to kind of work through that. But certainly by the end of the year, we'll have worked through entirely in fact, in Q1, by the time we're down with Q1, we should be largely through all the restructuring activity. So we should start to realize those savings in OpEx. And yes, I mean, as you get to the full year Q4 estimation, I think when you look at our OpEx items, R&D, sales and marketing G&A we're taking in the actions we took were north of 40 plus percent reductions on both headcount and discretionary. You can kind of do the math. The other thing I'd say, we and I mentioned this in the prepared remarks in passing as well around the stock comp elements, although that doesn't affect the adjusted EBITDA, but that also we expect to come down. So that's kind of the composition of what gives us confidence that will achieve adjusted EBITDA profitability in Q4.
Brett Knoblauch: And then, I guess on the community kind of bookings backlog, I guess the group 10% sequentially. Can you talk about what kind of specific relationships or customers really drove the kind of quarter-over-quarter growth there?
Nitesh Sharan: We announced that we have over 70,000 restaurants and one thing that they're unique about our kind of a restaurant is that we could work with single location restaurants. There are a few players that are in the space because of the huge amount of on-boarding requirements. It could take a month to train a model for a new menu. They can only go after brands that have like hundreds of locations, for example. But we could actually work with a restaurant that has a single location because our on-boarding is automated, so you can ingest the menu. And even if they have custom vocabulary on their menu, RFPs recognition automatically gets trained and enhanced to recognize those and they have complex menu structure, all of that can be automated. So that's a very green area for us to go after the long tail and to us the partnership is very keen, because they have -- they opened the doors and 10s of 1000s of restaurants for us. And we partnered with their sales team as well. So, they have a large number of salespeople that can sell our solution on our behalf.
Brett Knoblauch: And I guess I could have one follow-up the new kind of generative AI chat product. Is this going to be more like a like a chatbot? Is it going to be more voice driven? And I guess, how do you plan on I guess monetizing that solution and maybe the timeline for when you expect monetization to occur? Is this something that we should expect to contribute to revenues this year?
Keyvan Mohajer: So, the demo you heard was voice based, so the user was talking to a mobile app and here's the response. And we believe voice really unlocks the power of generative AI. So typing is not as compelling as voice because it can be faster and interact more freely. So, it will be more safe. There will be a text plain text input, as well as like voice we think will be the dominant way and that's one of our differentiators bring our own ASR. And I really think this is the first time we can deliver a voice assistant to the end users that we have been wanting for more than a decade. So if you remember, when Apple launched Siri more than 10 years ago, there were all these ads on TV that made it the promise that you can go and have it open up the conversation with an assistant users, love the idea they rushed to it. And they quickly became disappointed because it was able to only handle a few things like ask questions about weather and maybe stock prices and they use it can set timers. So it was still better than not having it. So people use this and adopted it, but it wasn't what they had imagined. And now more than a decade later, you're finally able to deliver that experience that users have wanted. We know they want it because we've been in this business for a long time for many years and we know that's what the users want. And very few companies can take advantage of this moment. Because just having a voice interface to a large language model is not enough because maybe you can ask them some questions to write you a poem or some long tail questions. But if you ask them questions about real time search queries like I was the weather or sports scores or stock prices, or setting a timer or calling contact or sending messages or sending calendar, navigating to restaurants or addresses, they say that goes. So to really deliver this ultimate assistant experience, you need to have both, you need to have generative AI language model. And you need to have the existing assistant domains that people demand with a voice interface on top of it, and there's only a handful of companies that can take advantage of the situation. And SoundHound is the most agile because we are able to move really fast. So stay tuned for our announcement later this month. The questions, the rest of the questions you asked, we will answer those in our announcements.
Nitesh Sharan: And Brett the other thing, just that, for us, the generative AI is certainly the like the demo we shared, but we also talked about Dynamic Interaction and we previously announced the Dynamic Interaction sort of next generation for auto. And there's a kind of interest there. In this space, we think, certainly voice is an important modality. But sort of the multimodal is just as exciting. Sometimes voice input voice output makes a lot of sense. Sometimes it's voice and touch input and audio and visual output. And that's sort of what our Dynamic Interaction capability allows us to do real time. And that's really where the future is going is just going very rapidly. And so, there's a ton of applications use cases that we're very excited about and the monetization will come with those near-term.
Operator: Thank you all for participating in today's question-and-answer session. I would now like to turn the call back over to Mr. Keyvan Mohajer for any closing remarks.
Keyvan Mohajer: Thank you. When we found a SoundHound, we have a vision to see voice enable, voice AI in our lifetime. But we couldn't have fully imagined the vibrant environment of AI innovation we find ourselves in today. Our conversational AI comes to the prominence across industries, we're confident that as the only independent cross industry works AI platform, you are in a strong position to deliver best-in-class technology to even more global brands. We continue to execute and 2022 was a pivotal year for introducing new products and building new partnerships. And you're excited about where we are and where you are looking forward to a strong citizen in '23. With that, I thank you for joining us on the call today. I look forward to speaking with you when we report our first quarter 2023 results. Thank you.
Operator: Thank you all for participating. This concludes today's program. You may now disconnect.